Operator: Good morning. My name is Sally and I’ll be your conference operator today. At this time, I would like to welcome everyone to the Sandstorm Gold Second Quarter Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions]. Thank you. Mr. Denver Harris, you may begin your conference.
Denver Harris: Thanks, Sally. Good morning, everyone, and thank you for joining today’s call. With me as always, I have Sandstorm’s President and CEO, Nolan Watson; CFO, Erfan Kazemi and Senior Executive Vice President, David Awram. Please be advised that some of the commentary on today’s call may contain forward-looking statements. There can be no assurance that forward-looking statements will prove to be accurate as actual results and future events could differ materially from those anticipated in such statements. I will now turn the call over to Nolan.
Nolan Watson: Thank you, Denver and good morning, everyone. In a few minutes, I’ll hand the call over to Erfan Kazemi, our CFO who will walk us through the detailed quarterly financial results which include the sale of over 10,000 ounces of attributable gold equivalent production and over $9 million of operating cash flow and that is as well as to reiterate our guidance of 40,000 ounce to 50,000 ounces for the 2014 year. During the second quarter, we completed the acquisition of Sandstorm Metals & Energy and we are already beginning to see the positive effects of having our corporate development team focused solely on Sandstorm Gold. And I believe the recent acquisition of True Gold Stream is a good example of that. We’re also continuing to work on the monetization of a couple non-core assets that we received in the acquisition of Sandstorm Metals & Energy and although recent efforts have run into stags, we will continue to make that a priority. As in past quarterly earnings calls, I would like to take the opportunity to provide a brief update on our business for our investors and answer some of the common questions that we have been hearing. We’ve received a lot of questions regarding the recent investments into Luna and True Gold and I think it’s important that I take the time to address those investments and the rationale behind them. So firstly with Luna, in 2009, when we made the first initial $17 million investment, although we knew the asset had substantial exploration upside, we had not anticipated that the 1 million ounce resource would jump to 4 million ounces in just a few years and with a relatively low cost of drilling. With just a few years, we have received over $45 million in free cash flow from the investment. We were also surprised that the drilling that was done indicated that the imbalance on the property looked like it had the potential for 8 million ounces or more with continued drilling. But what surprised us most of all is that one day, Luna just stopped drilling. In my view, even in a tough market like this, Aurizona needs to be drilled. As Luna’s previous management team was clear with us, with their explanation which is that they believed that the exploration would disproportionately benefit Sandstorm. So for some time now, we’ve been working hard to get on the same page as Luna until and in the past we had opportunities to make equity investments and to help accomplish that objective and which for various reasons were turned down. More recently over the past several months, Luna and Sandstorm have been working incredibly working hard to foster an open, productive, candid and cooperative relationship and I believe we are achieving that. Luna’s recent challenging second quarter combined with the upcoming quarterly debt repayments provided Sandstorm with the opportunity to further align our intentions of Luna. I have stated in past that one of our goals is to continue to grow and diversify our portfolio and that is still a stated objective. However, due to the ink situation of Luna, the capital requirements they have for crushing systems and waste dripping potentially as well as the unique exploration upside this situation is a complex puzzle that can only be solved in Sandstorm and Luna are working together with each other which we are now endeavoring to do. Some of our investors read the recent press release and in particular, the comment about Sandstorm and Luna discussing potential changes to the stream and interpreted that as we are making immediate changes and that they are coming whereby Sandstorm would be reducing the stream in exchange for nothing. And I would like to alleviate those concerns by saying that we were acting the best interest of Sandstorm’s shareholders. Any change will be in conjunction with a clear direction for where Luna wants head as a company which is something that is yet to be decided. Also, we have had questions on what our exit strategy for share position is. We believe that one day and probably sooner rather than later, the Aurizona projects will be a part of a larger company due to the mergers and growth or through the sale of Luna to larger company, at which point that would be a natural exit for us. Speaking of the stated objective of continuing to grow and diversify the company, we are very pleased that earlier this week we were able to announce the world’s first syndicated stream between Sandstorm and Franco-Nevada on True Gold’s Karma Project in Burkina Faso. It’s a project that has substantial amount of exploration upside and we believe will eventually prove out a strong rate of return for Sandstorm shareholders and we’re happy to have streamline that project. I personally also believe that increased cooperation amongst the streaming companies will not only be good for the streamers, but it will also be good for the industry in a same way that bankers syndicating debt loans is good for the functioning of a healthy economy. The streaming industry is young and it is still evolving into something better and stronger and we’re pleased to be one of the first participants in the next phase of the industry’s evolution. With respect to future growth, which is a common question from investors, as I mentioned a couple minutes ago, we continue to see the benefits of having our entire team solely focused on Sandstorm Gold and our pipeline is continuing to fill out. In terms of the timings of deals that’s always challenging to predict, right now the transactions that are advanced on the smaller royalty side of things which investors will likely to see come through in Q3. As I’ve mentioned in the past in investor calls, one of the themes that we believe is important is the focus on fewer, but higher quality assets and ask ourselves how we can stream of royalty onset assets and we are willing to consider greater alternative to get such streams and royalties. We always have been and always will be a company with streaming royalties that are important that is the reason we exist. Investors can rest assured that any lending or equity investments that we do in the future will be solely for the purpose of adding to the diversity and to the quality of our streaming of royalty portfolio. And to that extent, we believe Sandstorm is well positioned from a balance sheet perspective to continue to grow our portfolio. We have a strong cash balance, we have strong cash from operations and we are completely debt free. And with that, I will now hand the call over to Erfan who will go through the financial results. Erfan.
Erfan Kazemi: Thanks, Nolan. During the second quarter, Sandstorm’s portfolio of streams and royalties generated $13.2 million in revenue from the sale of 10,149 attributable equivalent ounces. When compared to the second quarter of 2013, our average realized selling prices of gold declined, but this was largely offset by a corresponding increase and attributable production. Although three of our streaming partners being Luna Gold, Primero Mining and SilverCrest Mines posted lower than anticipated production numbers from their respective mines during the period, the number of gold equivalent ounces sold increased by 8% compared to 2013. Notable increases in production came from the Bachelor Lake mine for an addition of 940 gold ounces was sold compared to Q2 2013, from the Ming Mine attributable gold ounces increased by 64% compared to the same period of 2013 and from our portfolio royalties our NSR royalties our nine producing mines kicked in additional 689 ounces in the quarter, an increase of over 35% compared to Q2 2013. Our attributable gold ounces sold during the quarter translate into 3 million net income to 9.4 million in capital from operations. Our cost reduction program in conjunction with few one-time items contributed to these positive results. Before I turn it over to Dave for an asset update, I want to again draw your attention to our balance sheet. As of June 30th, we had over 111 million in cash and 109 million of working capital. We also have 100 million undrawn revolving line of credit available and we recently extended the facility to a five year term. That’s all from me. Over to you, Dave.
Denver Harris: I think Dave dropped off the call. So, at this point, we’ll hand it over for questions.
Operator: [Operator Instructions]. Your first question comes from the line of Rahul Paul of Canaccord Genuity. Your line is open.
Rahul Paul – Canaccord Genuity: Hi, everyone. We saw big increase in royalty revenues in Q2 compared to Q1 of this year. Now the Metals & Energy acquisition closed only on May 29th so I’m not sure whether you had a full quarter of contribution from those assets. Were there any one-time items in the royalty revenues and should I expect an increase in Q3 based on full contribution from Metals & Energy?
Erfan Kazemi: Yeah I would say we had a month of June where Sandstorm Gold was able to record and recognize some of the revenue from the Bracemac-McLeod Mine. So they have let’s say about 500 gold equivalent ounce that we recorded during the quarter just resulting from Bracemac-McLeod. And I’d say this fluctuation was a lot of royalties we have a number from the nine producing mines so we’ll tend to fluctuate from quarter to quarter. But overall this was a good quarter for us in terms of royalty.
Nolan Watson: Yeah I think it’d be clear, there were no major onetime items and the way the accounting works is you can only consolidate from the date of acquisition forwards. So up to the date of closing of Metals & Energy transaction there was no revenue from Bracemac-McLeod in the quarter.
Rahul Paul – Canaccord Genuity: Okay. That helps. And then if I look at G&A expenses in the current quarter it looked like they were quite low in Q2 what we saw in Q1. Now that Metals & Energy is closed, do you expect do you need to increase or do you expect these levels are sustainable going forward?
Nolan Watson: We fully consolidated our G&A from the date of acquisition forward. So there is some G&A from Metals & Energy in this quarter. You’ll see a full quarter of it next quarter in Q3, but it won’t be a dramatic increase it will be a fairly.
Rahul Paul – Canaccord Genuity: Okay. Thanks, Nolan. That’s it for me. That’s all that I had.
Operator: Your next question comes from Jeff Jackson with CIBC. Your line is open.
Jeff Jackson – CIBC: Hey everyone. Thanks for taking my questions. The first one was just a little clarity on 2017 target of 2,000 ounces. Is that inclusive of the new carbon stream?
Nolan Watson: It does. Yeah.
Jeff Jackson – CIBC: Okay, great. Thanks. And then in terms of investments made during Q2 are approximately 7 million, just give a little bit of color of what those are?
Nolan Watson: That was Luna shares that we had acquired the 7% ownership of Luna prior to this private placement.
Jeff Jackson – CIBC: Okay. Perfect. That’s all for me. Thank you.
Operator: Your next question comes from the line of Richard Grey with Cormark Securities. Your line is open.
Richard Grey – Cormark Securities: Most of my questions have been asked I just want to clarify that you said that 2017 number, is there any built into that in terms of expansion that is out for public domain (inaudible)?
Nolan Watson: We have a couple of royalty acquisitions that are in there that are not in the public domain because they’re not material. But there is nothing large that’s in there that is not in the public domain. We don’t have any ramp ups associated with Luna in that number so any ramp ups from Luna above 80,000 ounces a year would be a positive surprise and would increase that number.
Richard Grey – Cormark Securities: That’s all I had. Thanks.
Operator: Your next question comes from the line of Chris Temple. Your line is open.
Unidentified Analyst: Hey guys. Just curious and forgive me if I missed this somewhere recently, but do you have any kind of update on what’s the status of company’s investment in Colossus is?
Nolan Watson: Yes it’s a good question, I’ll answer that briefly and we have Dave back on the line now so probably hand it back over to him may be just give us a bit of a brief update on a couple of other ones in addition to Colossus, Luna, SilverCrest etcetera. With respect to Colossus, as I mentioned on the last call, there is still an going disagreement with Coomigasp with respect to the agreement and an arbitration has been filed for by Colossus the actual agreement that was signed between Colossus and Coomigasp called for all settlement and arbitration. So that arbitration has been filed for and will take some time to work through the system, so we can expect any news shortly from that. So maybe I’ll just hand it over to Dave briefly to talk a little bit couple of the other assets as well.
David Awram: Sure. Sorry everybody for dropping off there had a few little technical problems. So I apologize I realize you’ve entered the question-and-answer period and I apologize if anything is repeated here. But I will give a couple of updates on some of the assets on a tactical basis. I will start with Aurizona and as Nolan had already discussed, has been some changes there in terms of the approach and the expansion at Aurizona and how it’s expected to proceed. The second quarter operations did struggle due to lack of stock piles or ahead of higher than expected rainfall received during the rainy season throughout Q2. The access was limited due to these higher water levels. With the dry season beginning in June, access work has obviously been improved and we are expecting an increase in production through the balance of 2014. With regards to the Phase I expansion Aurizona will not proceed on a reduced basis with work programs one which including improvements to the gravity circuit and work program two, which will involve improvements to CIL circuit and it will be completed this year. However, improvements to the thickener and to the front end of the circuit will be put on hold due to the increase in capital for the completion of those two particular items. They are still guiding and the guidance going forward will be for 75,000 ounces to 80,000 ounces of annual production. And then with this new $20 million in capital injection from Sandstorm, part of that will be capital dedicated to a restarts of the exploration project the Aurizona. So as Nolan said before, it’s been a very, very long time since they’ve done any drilling really what is a really prolific area and very successful at getting good exploration results in previous drill campaigns. So, we are looking forward to seeing the results that they have on the filter area in and around (inaudible) and then some of the other areas where they have been very, very successful but drilling up separately or previously. Kind of quickly on to some of the other assets Black Fox, investment pipeline Black Fox by Primero had begun months ago and extremely evident by the increase in the development work increased by 50% to 1,881 meters at Q2. Primero results increased exploration to over 15,000 meters of exploration drilling and over 12,000 meters of definition drilling just in that quarter Black Fox also saw an increase in mine material despite the fact, that a lot of good stokes are available and kind of a replaying and stokes kind of mid processing it. The updated resources using some relatively conservative parameters now as a method of really kind of increasing the accuracy in the ongoing mine plan. Additional drilling has been undertaken in order to help reconcile some of the lower than expected grades that were encountered. But despite some of these new discoveries by Primero, Black Fox is still expected to see an increase in production probably seem a low water mark on their production going forward. Quickly on to Santa Elena it is really kind of based on they are kind of in a critical quarter this Q2 as the transition from the open pits and underground material. So just announced earlier this week commission of the mill has been completed as of August 1st. Most of the material used from the commissioning is from the previously heap leach material and to-date results of the new invented mill have been very good. More goal towards produce heap leach material than budgeted and grades were higher than budget as well. Some of the key metrics that they’ve choose so far, average throughput during that three months commissioning period was 2,524 tons per day with daily throughput up to 3,144 tons per day. The name plate of the mill is really 3,000 tons per day, recovery is averaged over 80% with gold and are expected to range 90% and above. July production alone was 1,516 ounces of gold versus a budgeted 1,255, demonstrating success management has had with mill operation to-date. Head grade of the heap leach material used for commissioning was 0.84 grams per ton versus a budget of 0.63 grams per ton. So it had a lot of success in all fronts getting this up and going. The next new real milestone on the production from the underground slopes which is happening towards the end of this month, long hold will be developed and mining is beginning almost immediately. This will already add to a stockpile of underground development ore of 32,000 tons grade of the stockpile material has reconciled well with the reserved models. So they’re doing well in that front as well. Overall, a very good start to the milling and the underground operations and we’re actually very happy with the SilverCrest management as they’ve pushed the project forward. That just covered briefly overview. And of course if there are any other technical aspects or other questions of some of the projects or some follow up to small detail, free feel to continue on with the question and answer session on that basis. I’ll pass it back over to you operator.
Operator: [Operator Instructions]. Your next question comes from the line of Carol (inaudible). Your line is open.
Unidentified Analyst: Hello. My question is wanted an update on the Entrée Gold situation.
David Awram: Yeah, so Entrée Gold the mine is in operation the open-pit mine is in operation and then Mongolia the operations are going pretty well. They just put up their quarterly earnings last week I believe or a week before that and the mines are making money. There are some Mongolian issues between Rio Tinto and Mongolian government that is still being worked out including what appears to be, suspect tap on the Mongolian government. So I think a few of those things have to be worked out before there is a final resolution between Rio Tinto and Entrée and the Mongolian government on the underground development in the assets. There was a very large multi-billion dollar financing package that was put together by international banks, including the International Finance Corporation that was going to be financing that. The date of expiry of that potential facility did come but virtually all of the banks have agreed to now extended our date and they all want to continue to be part of that financing going forward, once the various issues are worked out between the government and Rio Tinto. So the mine is up and running, it’s operating and eventually they are going to have to transition to underground mine between now. They have some issues to sort out amongst themselves, but we’ll ready and waiting when that’s done and happy to start receiving gold in the rig from now once that’s worked out.
Operator: [Operator Instructions]. There are no further questions at this time. Mr. Watson, I’ll turn the call back over to you.
Nolan Watson: Okay. Thank you, operator. And thank you very much everyone for calling in to today’s call. And as always, feel free to call either Erfan, or Denver or myself directly with any questions as you’re going through things and looking at them. Have a great day.
Operator: This concludes today’s conference call. You may now disconnect.